Operator: Good day and thank you for standing by. Welcome to the Q1 2021 Nu Skin Enterprises Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Scott Pond. Please go ahead.
Scott Pond: Thanks, Peter. And good afternoon, everyone. Today on the call with me are; Ritch Wood, Chief Executive Officer; Ryan Napierski, President and CEO-elect; and Mark Lawrence, Chief Financial Officer. On today's call, comments will be made that includes some forward-looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release and our SEC filings for a complete discussion of these risks. Also, during the call certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP financial numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our investor page at ir.nuskin.com for any required reconciliation of non-GAAP numbers. And with that, I'll turn the time over to Ritch.
Ritch Wood: Thank you, Scott and good afternoon, everyone. We really appreciate that you join us today. I'm so pleased with our progress and becoming a customer-obsessed, socially-enabled business that has generated record results in this first quarter. Our strategy has positioned us well for success amid powerful macro trends and associated shifts in consumer behaviors. I want to recognize our amazing and talented sales leaders and dedicated loyal employees who are responsible for the great results we're reporting today. We made critical enhancements to our business as we implemented our strategy over the past few years, for example, we refined the cadence of our product launches. We increased our focus on attracting and retaining customers. We aligned our sales compensation structure to enable social commerce and we invested in manufacturing companies to secure our supply chain. These and other strategic enhancements helped us drive 31% revenue growth and 153% earnings per share growth in the first quarter. As a result, we're reporting the best first quarter in Nu Skin's history for both revenue and earnings per share and we are raising our guidance for the year. As Ryan and I continue to work closely together on developing and leading the execution of this strategy, the transition of leadership responsibilities is progressing well. I am so confident that the business is in great hands. This is the right team to build on the existing foundation and drive continued growth and success in the future. I would like to highlight progress on a few of our key initiatives. First, we continue to build upon our 37-year history of developing world-class beauty and wellness products that help people look and feel their best. For example, if people look for ways to enjoy a spa-like experience at home, our beauty devices, including ageLOC LumiSpa and Boost continue to grow in popularity. In fact, Euromonitor recently named Nu Skin, the world's number one beauty device systems brand for the fourth consecutive year. As consumers become increasingly mindful of what goes into the products they use, we extended our product philosophy with Nutricentials Bioadaptives that feature clean formulas and sustainable packaging. And I'm really excited about the potential of our robust product pipeline, which we will share more details about later in this call. Next, even as the world moves towards a new normal, our social commerce strategy is here to stay. We recognize the trend of consumers moving to digital platforms long before COVID-19 which accelerated this transition. Our triple-digit growth in the West is a result of our brand affiliates, embracing our social commerce model. We're reaching a larger and younger demographic, and the business continues to gain momentum, with 34% customer growth and 22% sales leader growth in the first quarter. I'm encouraged also by our improving geographic balance, which Ryan will speak to in more detail in a moment. I would like to highlight the growth in our manufacturing segment, which achieved record results and reported 69% revenue growth. We continue to lean into our sustainability efforts with ongoing initiatives to reduce the environmental impact of our business operations, provide more eco-friendly packaging and strengthen our commitment to responsible sourcing, including our investments in controlled environment agriculture. Given our first quarter performance, increasing sales leader interest and our planned new product introductions, and strong customer and sales leader growth, we are raising our 2021 guidance. The midpoint of our adjusted guidance points to growth of about 10% for revenue and 15% for earnings per share. We are confident in our strategy and we're optimistic about our future. And with that introduction, I'll turn the call over to Ryan.
Ryan Napierski: Thanks, Ritch. Good afternoon, everybody. I've loved partnering with Ritch over the past few years as we've refined our vision to become the world's leading innovative beauty and wellness company powered by our dynamic affiliate opportunity platform. This vision builds on our foundational product philosophy and the strength of our person-to-person business model, infusing digital, social and mobile capabilities that are shaping us into a leading social commerce company. Our ultimate aspiration is to become the world's leading beauty and wellness platform. We're witnessing seismic global shifts in consumer behaviors from digital, social and mobile connections to the expansion of the gig economy. Our world is changing rapidly. Traditional advertising, retail and eCommerce are being disrupted by influencer marketing and social commerce like never before, a trend that has accelerated significantly over the last year. These trends combined with our strategic investments over the past years, to build greater digital capabilities have positioned us well to realize today's opportunities and accelerate our own pace of change. This strategy has resulted in strong customer and sales leader growth and record first quarter results in both revenue and EPS. Before I go into more detail about the quarter, I want to run through the three key components of our strategy to grow. Our innovative products, our unique affiliate channel and our powerful platform. First, regarding innovative products, we've refined our cadence of bringing innovative beauty and wellness products to market. We play in the fastest-growing product categories in beauty and wellness, including beauty devices. This category is nearly $7 billion and is projected to grow more than 20% annually between now and 2030. As Ritch mentioned, this is the fourth consecutive year Euromonitor has ranked Nu Skin as the world's number one beauty device systems brand. This further validates our scientific rigor as a unique strength and competitive advantage in the beauty industry. Our next step to expand our dominant position will be to add connectivity to our devices as part of our Empower Me personalization strategy that we introduced to all of you at Investor Day. The way people engage with beauty and wellness has changed as shopping behaviors and personalized product experiences have become increasingly digital. For us, this shift is resulted in more than 90% of our revenue coming from online transactions with approximately half our revenue come in from recurring customer subscription and loyalty programs. I'm excited about the recent product launches of ageLOC Boost and Nutricentials Bioadaptives, which generated more than $35 million for the quarter in a limited number of markets. We'll continue to strengthen our industry-leading position with our robust product pipeline in 2021 and beyond. Later this year, we'll introduce two new products through our proven global launch process, leveraging our robust R&D capabilities in both beauty and wellness. First, we'll introduce a unique beauty from within product line, beginning with Beauty Focus Collagen+, with our proprietary formula aimed at disrupting the burgeoning $50 billion beauty supplement market. This product is clinically proven to help improve skin health and complement other Nu Skin products, including our LumiSpa Beauty System. Second, we'll introduce our next major Pharmanex innovation ageLOC Meta, a metabolic health supplement. A recent study of US adult indicated that 88% are metabolically unhealthy, and this product helps us address this acute wellness dilemma. Additionally, we plan to begin introducing connected devices in early 2022 and beyond. Connected devices will further personalize and enhance the customer experience, while providing additional insight in the consumers' needs. These powerful beauty device systems and innovative products, combined with our global subscription and loyalty programs create a unique opportunity for us to increase customer acquisition and lifetime value as we continue to meet the needs of beauty and wellness customers. Next, our flexible power and powerful affiliate channel is evolving to support our social commerce business. In essence, we're taking the best of our face-to-face, person-to-person model, including a passionate sales force, personal touch, trusted product recommendations in a connected community. And we're evolving it into a digital first affiliate marketing engine that's powered by our socially-enabled global sales force. In many ways, our historically unique style of influencer and affiliate marketing is now the approach that many companies and brands around the world are trying to replicate. This approach has always been at the core of our business and is now being amplified by our social commerce strategy. Our first quarter results throughout the West and parts of the East are further evidence that social commerce is an emerging model that will transform the beauty and wellness industry. Third, our powerful affiliate opportunity platform connects consumers with people - sorry, people who are seeking innovative beauty and wellness products with brand affiliates who help them navigate their personal journey. And it all happens within a digital ecosystem that enables our affiliates to attract, connect, transact and service consumers in nearly 50 markets. In our opportunity platform, affiliates and leaders can effectively serve their customers' personal needs by accessing hundreds of beauty and wellness products. We continue to introduce new digital and social tools to make running a powerful and personalized social commerce business more simple and effective. These tools include Vera, our personal product recommendation tool that is currently being rolled out around the globe. MySite, our personal product storefronts available in most of our markets. WeShop, China's personal storefront model to be introduced in the second half of this year, and digital training tools to expand the reach and capability of our brand affiliates. So when combined, our flexible velocity sales compensation program, our global footprint of nearly 50 markets, our best-in-class manufacturing capabilities and our significant digital transformation all come together with an unmatched product to empower our affiliates to build their own socially-enabled beauty and wellness businesses. Across Nu Skin, we're focused on driving consumer growth and loyalty and creating entrepreneurial opportunities for brand affiliates as we expand social commerce around the globe. To further enable this growth, I'm really excited to welcome Connie Tang as Executive Vice President and Chief Global Growth and Customer Experience Officer. I've known Connie for years as an industry colleague. She's an amazing business leader with a long track record of successfully guiding global organizations. She'll lead our Global Markets and Customer Experience Office as we further expand social commerce. I look forward to introducing you to Connie in future calls. Turning now to our global markets, we continue to take steps to improve our geographic revenue balance. This will create more sustainable growth moving forward and make us less susceptible to individual market fluctuations and geopolitical issues. Beginning with the Americas Pacific, our accelerated performance continues to be driven by the expanding adoption of social commerce. This region posted first quarter constant currency revenue growth of 97% with growth in every market. This region is now roughly the size of our Mainland China business and on pace to become our largest business unit. Customers and sales leaders both grew significantly, demonstrating sustainable growth across all key metrics as they prepare to launch Beauty Focus Collagen+ and ageLOC Boost in the second half. Europe, Middle East and Africa also posted significant constant currency revenue growth of 98% year-over-year, as leaders embrace social commerce throughout the region. The UK, Germany, France and Poland led the way as we partnered with sales leaders for the launch of Nutricentials Bioadaptives and on effective product promotions. EMEA achieved the highest growth in customers and sales leaders of any region, providing momentum as we move into Q2 and beyond. Mainland China grew 1% in local currency this quarter with customers up 16%. We continue to invest in new social commerce technologies in this market, including our own WeShop initiative in partnership with Tencent, which begins to roll out in the second half of this year. This will further reduce our dependency on in-person meetings, which we believe will better enable our sales leaders to adopt social commerce within China's own robust digital ecosystem. Hong Kong and Taiwan reported a 3% constant currency decline, with Taiwan's growth being offset by continued macro challenges in Hong Kong. South Korea remained even with the prior year's quarter with sales led by - TR90 Weight Management System and the introduction of ageLOC Boost. Customers declined 12% due to promotional activities last year, while sales leaders grew by 7% in the quarter. South Korea is focused now on adopting social commerce throughout the market. Southeast Asia's constant currency revenue declined 5% impacted by lingering effects of COVID in certain markets, but we anticipate increased social commerce adoption across the region, which will generate renewed growth and time. I'd also like to highlight Japan's 11% growth in local currency during the quarter. Our business there starting to catch a gear as new and younger consumers discover our beauty and wellness products, including our recent ageLOC Boost and Nutricentials Bioadaptive launches. We've raised guidance for the year based upon the optimism we're seeing in our aggregate global business. So let me wrap up by saying that our future looks brighter today than it ever has. We are fully leaning into our mission to empower people to improve lives and our vision to become the world's leading innovative beauty and wellness company that's powered by our dynamic affiliate opportunity platform. Our strategy, investments and commitment to operational excellence are aligned to this goal and will drive even greater value for our customers, affiliates, employees and shareholders throughout the remainder of 2021 and beyond. And with that, I'll turn the time over to Mark to go over the financial results for the quarter and update guidance. Mark?
Mark Lawrence: Thanks, Ryan. And thanks to all of you for joining our call today. I'll provide some additional color regarding our financial results, give Q2 guidance and update our full year 2021 outlook. Details can also be found in our earnings release and the supplemental information on our Investor Relations website. First quarter revenue and earnings per share came in above the top end of our prior guidance. Q1 revenue increased 31% to $677 million, with a positive foreign currency impact of 5.7%. Earnings per share for the quarter increased 153% to $0.91. Gross margin for the quarter improved sequentially 80 basis points to 74.8% due to product mix and easing of their freight charges versus the past few quarters. Gross margin was 75.7% in the prior year quarter. Nu Skin Q1 gross margins were 77.8% against 78.1% in the prior year. Our gross margin continues to be impacted by growth in our West markets, and our manufacturing segment. However, this growth benefits us by lowering our overall tax rate. Speaking of our manufacturing segment, a primary purpose of those acquisitions was to secure our supply chain. One of the most significant challenges of COVID-19 has been widespread supply chain disruptions. The agility and flexibility of our supply chain has allowed us to maintain our product launch schedule, and for the most part, keep our key products in stock. Selling expense as a percent of revenue was 40.4% compared to 39.8% in the prior year. For the Nu Skin business, it was 43.4% compared to 42%. As a reminder, selling expenses fluctuate quarter-to-quarter and often increase during strong revenue growth as more of our sales leaders qualify for incentives. General and administrative expense as a percent of revenue was 25.1% compared to 28.9% year-over-year. We continue to leverage our infrastructure to support revenue growth and improve operating margin, accelerating earnings growth. I am very pleased with our operating margin for the quarter, which improved to 9.3% compared to 7.1% in the prior year quarter. This is another strong step towards our stated goal of 13% operating margin. The other income expense line reflects a $1.6 million gain, compared to a $6.2 million expense in the prior year. The improvement was driven by foreign currency, reduced interest expense and investment income. Consistent with expectations and first quarter historical trends, cash from operations was an outflow of $18.9 million. We paid $19.3 million in dividends and continued our focus on generating shareholder value by repurchasing $50.4 million of our stock, with $275.4 million remaining in authorization, over the past five quarters, we have repurchased more than 6 million shares. Our tax rate for the quarter was 26.5% benefited by increased profits in the West as I mentioned earlier. Due to our strong first quarter results, strengthening trends and robust 2021 planned product introductions, we are increasing the top end of our annual revenue guidance by approximately $60 million and our earnings per share by $0.20. Our 2021 annual revenue guidance is now $2.8 billion to $2.87 billion, with earnings per share of $4.05 to $4.30. This guidance assumes a positive foreign currency impact of 3% to 4% and a tax rate of 26% to 32%. Our second quarter revenue guidance is $680 million to $705 million, assuming a positive foreign currency impact of approximately 5%. Q2 earnings per share guidance is $0.97 to $1.07 and assumes a tax rate of 27% to 30%. With that, we will now open up the call for your questions.
Operator: [Operator Instructions] And your first question comes from the line of Faiza Alwy from Deutsche Bank. Your line is open.
Faiza Alwy: Yes. Hi. Good afternoon, everyone.
Ritch Wood: Hi, Faiza.
Faiza Alwy: Hi. So I guess my first question is just, you know, if you could shed some more light around sort of what led to the revenue be to versus your outlook? I'm curious if it was, you know, the Western markets, or if you did better in some of the Eastern markets or if that was, you know, a product that did better than anticipated. So just more perspective around that would be helpful.
Ritch Wood: Yeah. I think I'd comment first, Faiza, and thanks for that question, that our overall business performed very, very well. We love the balance we're seeing around the world in our, you know, overall revenue profile. But the Western markets are leading the growth today above the Eastern markets. So yeah, real good balance, but I would say the Western markets outperformed for sure.
Faiza Alwy: Okay, okay. So as we look out to the year sort of has anything changed with respect to your outlook by markets specifically you know, China and the Eastern markets? And I know, Ryan, you mentioned, you know, digital initiatives that are coming into play later this year. Could you give more perspective on that sort of, have you started in any particular markets sort of where are you in that process? And again, if that, you know, if you're changing your outlook with respect to those Eastern markets at all?
Ryan Napierski: Yeah, no, I - Faiza, I think and only adding to Ritch's comment around the West, we also just continue to see really good traction with our beauty device systems in social commerce, which is really exciting, you know, to see those devices moving as well through social commerce. On the outlook side, yeah, we continue to see really strong growth in the West. And the East continues to recover for different reasons out of COVID and in different states, but overall, you know, seeing a positive trend and yeah returning to growth in those areas as well.
Faiza Alwy: Okay, understood. And you mentioned beauty devices. I'm curious sort of, it was helpful to hear you say that beauty devices are expected to grow sort of 20% per year. Can you give us some, you know, there's a view that one of the reasons why devices have done so well throughout COVID is because of reduced, you know, consumer mobility and more sort of at home treatments. And I'm curious sort of what your view is on that as mobility increases? You know, do you expect sort of a step back in these device sales and then sort of grow off of a new level? Or do you just - do you think that, you know, consumers have enjoyed the at home devices and we should expect sort of that pattern to continue?
Ritch Wood: It's a great question, Faiza, particularly because devices make up nearly 30% of our revenue and are really a key growth driver. As we come into this year, we continue to see a lot of strength in those devices, not necessarily impacted by, you know, the sort of new normal that we're starting to see around the world with devices. And fortunately, we have a real strong pipeline we just launched Boost, we'll be connecting these devices and making them you know, more interactive, I think with customers going forward. So we see that trend continuing to play very, very strong. Ryan, maybe you'd add to that.
Ryan Napierski: Yeah, just adding to that, Faiza, I think your question around at home treatments, definitely there's a continued momentum towards at home treatments. But I don't - we don't see that going away. In fact, we really see consumers moving more and more towards device treatments that are more flexible and consumer-friendly. And so that's for us, we see this, you know, really just an ongoing trend. I think for us, the real big benefit, again, goes back to social commerce and device systems I should say, the device plus the consumables moving through social commerce, which is really a great place to explain the benefits of these at home device systems and so that's maybe something just to add to it.
Faiza Alwy: Great. Thank you so much. Really appreciate it.
Ryan Napierski: You bet -
Ritch Wood: Thank you, Faiza.
Operator: And your next question comes from the line of Doug Lane with Lane Research. Your line is open.
Doug Lane: Hello. Good afternoon, everybody. Ryan, I think you mentioned that the new products did $35 million in the quarter. Can you help me understand which markets they're available in now? And when you expect to have them fully available globally?
Ryan Napierski: Sure, Doug. Yeah. The - yeah so, the $35 million was really spread throughout many different markets in different cadences. So maybe I'll kind of point to outliers more than the ones that aren't there. So with the exception of Boost in Mainland China and the US, most markets now have Boost available, Nutricentials, again, in most markets is now available as well. So it's kind of those two big markets in that product that we're looking at.
Doug Lane: Well, those are big markets. And Boost is a big part of the new products. Is that a second half event? Or do you think it moves into 2022?
Ryan Napierski: Q2 part - partly in Q2 for China, and then second half for the US. Yeah, so you're right. Those are pretty big markets for that product.
Doug Lane: And then you'll also be with a new supplement product which you talked about. Are they going to be start being widely available in the second half of this year? Or are you going to do them sort of like you did Boost and Nutricentials?
Ryan Napierski: Yeah, good question. Exactly, Doug. So those two products are - will be part of the Meta and the Beauty Focus Collagen+ will both be part of our global preview model that we use for Boost and Nutricentials. So it will be second half previews, predominantly, you know, Q4 and then rolling out or launching throughout early 2022.
Doug Lane: Got it, got it. And I'm also starting to hear folks talking about having returning to live events. Have you moved to scheduling live events later on this year?
Ryan Napierski: No, we continue to see the reach of our digital or, you know, online events is literally multiples higher than the on-site events. So we're predominantly through 2021 still digital first and we would anticipate in 2022 some level of local events, but not at the global level.
Doug Lane: Okay. All right. Thanks, Ryan.
Ryan Napierski: Thank you.
Operator: [Operator Instructions] And your next question comes from the line of Steph Wissink with Jefferies. Your line is open.
Steph Wissink: Thank you. Good afternoon, everyone. Ryan this is a question for you on the beauty from within or the collagen supplement business. If you can talk a little bit about how you're going to leverage your social selling platform, somewhat of a less demonstrable products. I'm just curious what tools and techniques you're going to provide for your affiliate community to really talk about highlight, emphasize and drive discovery of that product?
Ryan Napierski: Yeah, this is a really interesting product, Steph for us, as you know, I mean, we're really a balanced company in terms of inside out and being able to apply our nutraceutical-based approach to a beauty product is really an opportunity for us what we believe to disrupt this $50 billion beauty supplement market. And so we're very interested in and we think it's going to be a great you know, initial product line. We actually are receiving very good feedback from our field around the interest, the social interest on collagen related products. And so while you're right, it's not as demonstrable, you know, I think people can take pictures of themselves drinking it. The topic is very relevant to Millennial and Gen Z consumers, this beauty supplement market. And so there's a lot of social - from a social listening perspective. There's a lot of traffic on that or voice, social voice on that. So we're really interested and we think this will be a great social product. And I think by the way, in the format that we're doing, we're doing both ready to drinks and powders depending on the markets and price points, but it'll be priced in a really good place for the target market as well.
Steph Wissink: That's great. That's actually really helpful. And you started talking about second question I had for you, which is around your analytics, social listening, you mentioned. But your product pipeline and innovation seems to be not only more robust, but more on trend. So can you talk a little bit about what you're learning from a more digitally directed business, social listening strategies and then leveraging your own manufacturing, how you can come to market with products that are hitting device of consumer interest versus maybe in the past that would have been more of a multiyear or two or three-year plus you know planned pipeline?
Ryan Napierski: Yeah, Steph. I mean that and that's a great question. Our global product team with Steve Hatchett and Dr. Joe Chang have really revamped the way we've come to market with or discovered new innovations in the market. And you're exactly right, leveraging the strength of our manufacturers, together with social listening data that we're getting out of our digital ecosystem, our digital platforms and some of our digital or social listening tools, we're able to more real-time gather voice, the customer and even voice of social market to identify trends, really as they're starting to surface. And I think going back to, you know, Ritch's foresight of acquiring these manufacturers being able to pivot quickly and go-to-market much faster, with innovations that come through that social listening pipeline is, I think is a real competitive advantage to our business footprint now with manufacturing as well.
Steph Wissink: That's great, last one for me is just a real quick question on attach rates. I know it's very early with Boost. But that product, you know, has a really compelling consumables element as well. So I wondered if you can talk about what you're seeing in early days in terms of consumables attach relative to maybe some of your previous devices?
Ritch Wood: Yeah, thank you. One of - Steph, you know that one of the key differentiators for us this competitive advantage has being able to sell sort of a razor blade model where we get someone who loves our device, and they will continue to purchase the consumables going forward. Boost is still real early. We've just recently launched, as you know, so now we're seeing follow on purchases. Very good. We have great margins in those consumable products. They're very sticky and we're seeing really great results. Ryan, would you like to add anything to that?
Ryan Napierski: Only that what's interesting about these beauty device systems is, they do - we found that they do take time from an adoption, I mean, LumiSpa is really in like full stride, right now two years after the launch. And so I think, you know or three years after, I guess, but we're really, you know, expect Boost will continue to grow. And we are looking to Ritch's point, the system side of this, we're really finding value I mentioned the Collagen+, the associated, you know, real benefits related to our devices as well. It's kind of an interesting pairing strategy where we can really deepen that lifetime value relationship with consumers by expanding those systems even beyond just the direct consumables of each device.
Steph Wissink: Makes sense. Thank you very much. Very helpful.
Ritch Wood: Thanks, Steph.
Operator: And your next question comes from the line of Mark Astrachan with Stifel. Your line is open.
Mark Astrachan: Thanks, and afternoon, everyone. I guess I wanted to ask about how to think about the sustainability of this exceptionally strong growth in Americas and EMEA. And, you know, maybe you know if you could just take a step back and kind of talk about the key things that you think are really driving it beyond, you know, the social selling and products and kind of the repeat purchase rates and whatnot. And maybe you know if you're willing to give some sort of guidance about the sales progression, obviously, partly because the comparisons get a bit more difficult as well as we go through the year.
Ritch Wood: It's a great question, Mark. Hi. Appreciate that. You know, I would first comment by it's one of the things we as well you know are very cautious of as we came into the beginning of this year. You know, could we lap those high rates in the West. And we were very, very encouraged with our first quarter numbers, you can see that the sales leaders, the customer numbers continue to be very, very strong. We have strong product launches coming throughout the rest of the year. So we feel like we're very well set up. You know, to continue to see strong growth in these markets that have really enormous potential. I mean, the US being the largest direct selling market, one that we haven't fully tapped our potential and EMEA likewise, a lot of potential. So very encouraging results come in here into the first quarter, the key will be continuing to see that customer base expand. We like the way social commerce continues to gain more and more traction and our sales leaders become more and more effective at that, but we see very strong and promising trends going forward.
Ryan Napierski: Yeah, and just building on that, Mark. You know, I would start at the real macro level of social commerce as a macro trend, you know, really, as we continue to forecast out, I mean, China is by far the largest social commerce businesses from an industry perspective, when you're merging eCommerce and influencer marketing together. And so to Ritch's point, the runway of social commerce disrupting eCommerce is - and retail is very, very long. I think we're just at the very beginning of that trend. And then if we go at the micro level within our own business, we've really only tapped into portions of that in the Americas in the West, still, you know, a portion of those markets. And so the further adoption within the markets that are already leading out is great. And then we kind of see this continued evolution and fortunate with a global sales force, you know, people in that see what's going on in Argentina or in the UK and all of a sudden it pops up in Australia or in the Philippines. And that's kind of the pattern that we're seeing as we migrate the social commerce model. So I would almost look at social commerce as a business model, the way we're looking at it is a business model that will - that within Nu Skin, we'll continue to migrate around the globe. But at the macro level, will be - continue to be the more and more the norm of the way commerce moves away from just try a static paid advertising eCommerce model that fueled the last 20 years of global growth. It's really going to move more towards social commerce. And we think we're just appropriately in a position to play there.
Mark Lawrence: Yeah. I'll just add one comment. One other thing that gives me confidence in Americas and EMEA is what they're buying. So they are transacting socially, which is fantastic. And that's driving a lot of the growth. But what they're really buying is, devices and devices and consumables. So the top core selling products in the Americas are all devices, three of the top core selling products in EMEA are devices. These are products that tend to be a little bit more sticky and encourage follow-on purchases with the consumables inside. That gives me confidence in the momentum that we're seeing there.
Mark Astrachan: Got it. That's helpful. And the dog apparently [technical difficulty] that's very helpful.
Ritch Wood: He like - the dog [indiscernible].
Mark Astrachan: Apparently. So yeah, working from home, right, it's wonderful. So Mark I guess, you know as we think about trying to lap the growth, would it be your expectation that you continue to grow off of the base in the back half of the year. And then just another follow-up on just China? I'm surprised I mean it's grown now a couple of quarters in a row, Boost, I think it was for sale in the market? I think you said in the second quarter. I guess I'm surprised maybe it hasn't accelerated more that partly a reflection of just the changing dynamics in the market and less group meetings where I suppose no group meetings, and you know how do you think about the ability for that to get back to kind of the growth you've seen historically there?
Mark Lawrence: Yeah. I think on the two sides, your question one was the lapse in growth in the West? I mean, there's no question that the comps are top, you know, as in most businesses, but I think the underlying KPIs and our upcoming product launches with this adoption, social commerce, we're feeling optimistic per the guidance and the raise. On the China side, yeah, it is interesting, because there's no question that there's enormous potential in China with the population, as I said, with social commerce being such a large model there in the digital ecosystem that's there that we ecosystem. So we see a strategic fit there. For us, it's really about how do we continue to evolve our traditional direct sales model that was unique in China into this more social commerce in a local China version of that, because it is a different business. And that's what's taking more time. But as we continue to apply the strategy and the direction we're heading and the investments that we're applying with Tencent and others, we're optimistic that that market will you know, continue to move in the right direction.
Mark Astrachan: Got it. All right. Thank you.
Ritch Wood: Thank you, Mark.
Ryan Napierski: Thank you, Mark.
Operator: [Operator Instructions] And your next question comes from the line of Doug Lane with Lane Research.
Doug Lane: Yeah, thank you for taking the follow-up question. I was just thinking right about your answer to the in-person events. And I understand the move to the social commerce, but in-person events have been so important for recognition, motivation, training and I think that what would be helpful is you could give me some sort of color on what - how the role of the sales leader has changed? And what is the sales leaders' role in this new social commerce model?
Ryan Napierski: Yeah, you know, it's funny, Doug. We were having a discussion around this yesterday at the company, and you're right, the role of the traditional sales leader is evolving. And while some of those jobs to be done so to speak of a sales leader in terms of training and motivating, our sales force remained the same, it's kind of the how to the changes and doing that more on a digital Zoom base, you know, digital first type of approach works. But I think the bigger evolution - that we're seeing is, the reach, the role that sales leaders increasingly play in building awareness, and then driving kind of the awareness, you know, through the funnel to the company, where the company is really facilitating the transactions, as we set up over 90% of revenue now flows directly you know through company, you know are digital-based transactions to the company. And so that change and technically, that's why we change the name from distributors to affiliates, because they're more of - their job is more focused on really attracting consumers, and potential entrepreneurs and less upon distributing the products physically, there - where the company now does that transactionally. So that's the main shift. But you know, there's no question in our mind that the person-to-person aspect of our business is still a strength. We're really just amplifying that through the reach and the capability of social to expand and drive awareness at a much greater level.
Doug Lane: Yeah, it is a big change. And I know that you've been doing this purposely over the last several years. So while looking at your customer number, $1.5 million? Would you say that that represents 90% plus of your total sales in the quarter?
Ritch Wood: Yeah, well, our sales, Doug, it's a good question. Our sales all flow through customers, some of whom, you know, are doing the business as only purchasing for our customer, some who are sharing products with others, some who are continuing to motivate a down line, but every product runs through a customer who's using that product of some sort. And the base of customers has grown dramatically, we really shifted our focus, say, four or five years ago to go after customers and our customer base is about 400,000, 450,000 active higher than it was four years ago. And we see that continuing to grow. I mean, our focus is to continue to drive that number substantially higher, with not just active customers that are buying once in a quarter, but that are buying twice, three times that are following-up. So we think we have that opportunity with social commerce, because the reach is so much larger. And we have an opportunity to touch a lot more customers with products that they really, really love. So we see this continuing to grow as we go forward, I think the foundation is set to really expand from where we're at right now.
Doug Lane: No, I think and you've done it purposefully and probably are ahead of most of your peers and pursuing it. I'm just trying to get a feel for how far down the road are we, because, you know, the customer numbers you mentioned did not include consumers who purchased products directly from members of your sales force, which is the old model, right, the distributor, and that's how they used to operate in the old days. Is that down to a tiny fraction of your business? Or I mean, just roughly how much of your old - of your business operates under sort of the legacy model for many years ago, and how much is operating under this new social commerce model?
Ritch Wood: I'd say we're still in the early innings of that transition. There's still a lot of transactions that happen between a sales leader and their own customers not coming through the company where that continues to shift slowly. But we're in the early goings of this shift and trying to make, I would say, commerce for our sales leaders more and more simple, more quick, you know, more responsive, better customer experience. And as we do that, with our digital tools and experiences, you know, we'll see that shift continue to move.
Doug Lane: All right, thanks. That's good color. Appreciate it.
A - Ritch Wood: Thank you, Doug. And thanks to every one of you for your attention, for your questions. I appreciate and we're really happy to follow-up if anybody has further questions. We're, as you can tell, really, really bullish and optimistic on our story right now, on the trends we're seeing, on the way the business is rolling out. And we think we really have a good year in 2021. So thank you again for joining us and we'll talk to you soon.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.